Operator: Welcome to the quarterly earnings conference call. At this time all participants are in a listen-only mode. [Operator Instructions] Today’s call is being recorded. If you have objections, please disconnect at this time. I’ll now turn the call over to Mr. Rich Kinder, Executive Chairman of Kinder Morgan. Sir, you may begin.
Rich Kinder: Thank you, Ted. And as usual, before we begin, I’d like to remind you that KMI’s earnings release today and this call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and the Securities and Exchange Act of 1934 as well as certain non-GAAP financial measures. Before making any investment decisions, we strongly encourage you to read our full disclosures on forward-looking statements and use of non-GAAP financial measures set forth at the end of our earnings release as well as review our latest filings with the SEC for important material assumptions, expectations and risk factors that may cause actual results to differ materially from those anticipated and described in such forward-looking statements. As we begin 2023, it seems to be an appropriate time to look both backward and forward. Through the rearview mirror of today’s earnings release, we see that 2022 was a very good year for Kinder Morgan. We again produced strong cash flow well in excess of our budget and used that cash flow to pay our investors a healthy and growing dividend, fund our expansion CapEx, maintain a strong balance sheet and buy back shares on an opportunistic basis. In short, we are continuing to follow the financial philosophy that we have stressed for years. Looking forward, we released in December, our preliminary budget for 2023 and shows another year of living within our means, even in the light of increased interest costs and an expanded set of expansion CapEx opportunities which should drive nice growth in 2024 and beyond. We also announced today our plan for management succession. Our CEO, Steve Kean, will transition out of his role effective on August 1st of this year. Let me just say that Steve has been a superb CEO for the last eight years, and we thank him for the dedication, the hard work, confidence and honesty he’s brought to this job. On a personal note, he’s been a real pleasure to work with during all his years at the Company. While we will be sorry to lose him as CEO, we are delighted that we have him in his present role until August and that thereafter, he will continue to be a director, and I know he will contribute in that role to the future success of the Company. The Board and I have great faith in Kim Dang, who will transition from her present role as President into the CEO slot, and then Tom Martin, who will succeed her as President. Both have been with Kinder Morgan for approximately 20 years, have made extraordinary contributions to our results and culture, and we expect great things from them in the future. To sum it up, we expect a smooth transition later this year. Steve?
Steve Kean: Thank you, Rich. I’ll give you a brief look back at what we did in 2022 and how well we have set ourselves up for the future. Kim and David will cover the substance and the details of our performance, and then we’ll take your questions. Next week, we have our comprehensive annual investor conference. So, as usually is the case on this call, we’ll defer to next week the more detailed questions on the 2023 budget and the outlook and business unit performance. As Rich said, we had a very strong year in 2022 and wrapped it up with a great fourth quarter. Late in the fourth quarter, for example, we saw some volatility in the gas market, and that creates opportunity for large transmission and storage operators like us and for our customers who procure transportation and storage services from us. We performed well operationally for our customers financially for our company. Thanks, as always, to the tireless preparation and execution of our commercial, logistics and operations teams. We saw that come through, especially during the holiday weekend, when our teams work seamlessly across organizational lines to prepare, respond and recover and deal with the upsets along the way. That requires a committed workforce and a strong culture, and we’ve got that at Kinder Morgan. Our work in 2022 also set us up well for the future. We added to the strength of our balance sheet, finishing the year at 4.1 times debt to EBITDA better than our 4.3x budget for the year and well inside our long-term target of approximately 4.5 times. We originated new business, which has grown our backlog to $3.3 billion made up of high probability projects at an extremely attractive EBITDA multiple of about 3.4 times. These investments are weighted toward our lower carbon future in natural gas, renewable liquid feedstocks and fuels in our products and terminals businesses, and investments in our Energy Transition Ventures business. And these lower carbon investments are all expected to yield very attractive returns well above our cost of capital. That’s how we told our investors we would approach these opportunities, and that’s exactly what we are doing. There are no loss leaders here. We also returned value to shareholders in the form of a well-covered modestly growing dividend and additional share repurchases. For 2022 alone, we’ve returned nearly $2.9 billion to shareholders in declared dividends and share repurchases. On the share repurchases, we have used a little under $1 billion of the Board authorized amount, and the Board has now upsized the total authorization from $2 billion to $3 billion. As always, those will be opportunistic repurchases when we use that capacity. Also, as we talked about throughout the year, we’re starting to see nice uplift on our base business, on renewals in our natural gas business and built-in escalators in some of our products and terminals, tariffs and contracts. We are putting behind us the contract roll-off headwinds in our gas group. Bottom line for investors, what we do today will be needed for decades to come. And as we are demonstrating in our products and terminals businesses, the assets we have today can accommodate the energy forms of the future. We are making the gradual pivot that the gradual energy evolution dictates, and we’re doing it at attractive returns for our investors. With the cash our businesses generate, we’re maintaining that strong balance sheet, we are investing in projects with good returns, which adds to the value of the Company, and we are returning the excess to our shareholders in the form of dividends and opportunistic share repurchases. We all appreciate Rich’s comments at the beginning, and I’m grateful to Rich and the Board for their support and confidence in us. I’m grateful to my 10,000 colleagues here who have been proud to come to work with every day. And I’m grateful to you on the call who I have interacted with over the years, I learned from you and benefited from your questions and perhaps your occasional criticisms and your ideas. Thank you. As you’ll hear more about next week, we have our balance sheet in strong shape. We have a bright future with rich opportunities before us. And most importantly, we have a great experienced leadership team around this table who are always ready to step up and all of our investors benefit from that. We look forward to seeing you in person at the conference next week. Kim?
Kim Dang: Thanks, Steve. Okay. I’m going to start with our Natural Gas business unit. Transport volumes on our Natural Gas Pipelines increased by about 4% for the quarter versus the fourth quarter of ‘21. We saw increased volumes from power demand and LDCs as a result of weather and coal retirements, and that was somewhat offset by reduced LNG volumes due to the Freeport outage and exports to Mexico as a result of third-party pipeline capacity added to the market. Physical deliveries to LNG facilities off of our pipes averaged approximately 5.4 million dekatherms per day. That’s down about 450,000 dekatherms per day versus Q4 of ‘21, and that’s due to the Freeport outage and somewhat offset by increased deliveries to Sabine Pass. If we adjusted for the Freeport outage, LNG volumes would have increased approximately 5%. Deliveries to power plants and LDCs were robust in the quarter, up approximately 7% and 13%, respectively, driven by the weather. Our natural gas gathering volumes were up 6% in the quarter, driven by Haynesville volumes, which were up 44%. Sequentially, volumes were flat. In our Products segment, refined products volumes were down a little under 1% for the quarter, slightly outperforming the EIA, which was down 2%. Road fuels were down 3%, but we saw a 10% increase in jet fuel demand. Crude and condensate volumes were down 6% in the quarter due to lower Bakken volumes. Sequential volumes were down about 3%, and that was driven by lower HH volumes. That’s a pipe coming out of the Bakken due to unattractive locational pricing differentials. In our Terminals business segment, our liquids utilization percentage, think about that as a percentage of our tank capacity contracted, remained high at 93%. Excluding tanks out of service for required inspection, utilization is approximately 96%. Rates on liquids tanks renewals in Houston and New York Harbor were slightly lower in the quarter. Our tankers business was up nicely in the quarter as we benefited from both, higher rates and higher utilization. On the bulk side, overall volumes were down 2%. We saw increases in pet coke and coal volumes, but that was more than offset by lower steel volume. In our CO2 segment, prices were up across the board. On the volume side, oil production was flat, but it’s up 8% versus our budget. CO2 volumes were up 12%. NGL volumes, which are much less impactful to results were down 4%. Overall, both Steve and Rich have said, we had a fantastic quarter and year. For the quarter, DCF per share was up 13% and for the full year, it was up 14% when you exclude the impact of Winter Storm Uri. We exceeded our full year planned DCF and EBITDA by 5% and DCF per share by 6% coming in at or slightly above the numbers we have given you in the interim quarters. This is an amazing year for a stable fee-based cash flow company like Kinder Morgan. For sure, we benefited from higher commodity prices but our underlying business of specialty natural gas performed incredibly and the fundamentals look strong for the future, which we will cover with you next week at the investor conference. With that, I’ll turn it over to David.
David Michels: All right. Thanks, Kim. So for the fourth quarter of 2022, we’re declaring a dividend of $0.2775 per share, which is $1.11 per share annualized and up 3% from our ‘21 dividend. I’ll start with a few highlights on leverage, liquidity, growth and shareholder value. There’s some repetition here with earlier comments, but it’s worth it. On leverage, we ended 2022 with the lowest year-end net debt level since our 2014 consolidation transaction, and we have plenty of cushion under our leverage target of around 4.5 times. For liquidity, we ended 2022 with $745 million of cash on our balance sheet in addition to our undrawn $4 billion worth of revolver capacity. Growth for full year 2022 versus ‘21 excluding the impacts from Winter Storm Uri, as Kim mentioned, we grew nicely. On a net income basis, we were up almost 3 times 2021. That’s partially due to an impairment taken in 2021. And on EBITDA, we’re up 10%, and on DCF per share we’re up 14% year-over-year, very nice growth. For shareholder value for full year 2022, we repurchased 21.7 million shares at an average price of $16.94 per share and our Board just authorized us to do more of that, should the opportunity present itself. We’re seeing healthy growth across our business. Our balance sheet and liquidity are strong as they ever have been, and we’re creating shareholder value across the Company in multiple ways. So moving on to our quarterly performance. In the fourth quarter, we generated revenue of $4.6 billion, up $154 million from the fourth quarter of 2021. Our net income was up -- was $670 million, up 5% from the fourth quarter of last year. And our adjusted earnings, which excludes certain items, was up 16% compared to the fourth quarter of ‘21. Our distributable cash flow performance was also very strong. Our Natural Gas segment was up 11% or $138 million, with growth coming from multiple assets, higher contributions from our Texas Intrastate systems, MEP and EPNG, increased volumes on our KinderHawk system and favorable pricing on our Altamont system. Those were partially offset by lower contributions from our South Texas gathering assets. The Products segment was down $29 million, driven by higher operating expenses as well as lower contributions from our crude and condensate business, and those were partially offset by increased rates across multiple assets as well as strong volumes on our splitter system. The Terminal segment was flat to the fourth quarter of ‘21 with slightly lower New York Harbor and Houston Ship Channel liquids refined product renewal rates, unfavorable impacts from the 2022 winter weather and unfavorable property taxes, offset by greater contributions from our Jones Act tanker business, nonrecurring impacts from Hurricane Ida in 2021 and contributions from expansion projects placed in service as well as other rate escalations that the segment experienced. Our CO2 segment was up $36 million from the fourth quarter of ‘21, driven mostly by favorable commodity prices. Our EBITDA was $1.957 billion, up 8% from last year, and DCF was $1.217 billion, up 11% from last year. Our DCF per share of $0.54 was up 13% from last year. Moving on to the balance sheet. We ended the fourth quarter with $30.9 billion of net debt and a net debt to adjusted EBITDA ratio of 4.1 times. That’s up from 3.9 times from year-end ‘21, but that’s due to the nonrecurring EBITDA contribution from Winter Storm Uri we experienced in 2021. Excluding that Winter Storm Uri, EBITDA contribution that year-end 2021 ratio was 4.6 times. So we ended the quarter and the year nicely favorable to the metric excluding Uri contribution. We’re also nicely below our long-term leverage target of around 4.5 times. Our net debt change for the full year of $278 million was driven by a number of things. So, here’s a high-level reconciliation of that. Our DCF generated $4.97 billion. We paid out $2.46 billion in dividends. We spent $1.1 billion on growth capital and JV contributions. We repurchased stock in the amount of $368 million. We made two renewable natural gas acquisitions for around $500 million. And we received $560 million approximately from the sale of a partial interest in our Elba Liquefaction company. Finally, we had a working capital use of around $825 million from several items, and that gets you close to the $278 million reduction in net debt year-to-date.
Kim Dang: Okay. Before we start with questions, I am very excited about the opportunity ahead. A large part of my job is going to be about continuity. This is a great company and great business with a great future. As Steve said, our traditional business will be around for a long time to come. Energy is a $5 trillion global industry that is ingrained in every aspect of our lives. We will continue to invest wisely as we position the Company to turn slowly over time with the transition in a profitable manner. I’m also excited to work more directly with Tom. We work well together and have complementary skills, which will help the Company into the future. We have an experienced cohesive senior management team with Dax and John and Anthony and Sital and David and Kevin and others sitting around this table, and we expect to make this a seamless transition.
Steve Kean: All right. Okay. Ted, let’s open it up for questions. And as usual, we have a good chunk of our senior management team around the table. We’ll make sure that you get a chance to hear from them as you have questions about their businesses specifically. So Ted, if you would open it up to questions.
Operator: [Operator Instructions] The first question in the queue is from Jeremy Tonet with JP Morgan.
Jeremy Tonet: Just want to say congratulations to everyone, and Steve, best of luck going forward. And maybe just starting off, I guess, with capital allocation, wondering if you could touch on any updated thoughts there. It seems like the dividend uptick might have been a little bit less than expected. And then, at the same time, the share authorization levels were increased when it wasn’t fully utilized before. So just wondering, is it signaling any kind of shift in capital allocation or any other thoughts there on return on capital?
Steve Kean: Yes. I’ll start. I mean, it doesn’t imply any shift or change in approach at all. We look to maintain the strong balance sheet as all four of us have said, and we look to fund projects at attractive returns. And as mentioned, we have some very good ones, $3.3 billion at a 3.4x EBITDA multiple. Those add to the value of the firm. Those are attractive returns to us. But then, we have -- we’ve produced cash beyond that. And that cash takes the -- gets returned to shareholders in the form of a modestly growing and well-covered dividend and share repurchases. The capacity -- the reason for upsizing the capacity is not a change in terms of how we’re thinking about it. Opportunistic, as we’ve all said, and we’ve been saying for a long time. But we’ve used about $900 million since the original authorization, a little over $900 million. And so, we’ll be ready to take advantage of opportunities we upsize -- the Board upsize the authorization. And so, we’re in a position to take advantage of opportunities as they arise. But overall, bottom line, we haven’t changed our capital allocation philosophy. It’s worked. It’s been the same for quite a while. And it adds value for our shareholders.
Kim Dang: Yes. And on the dividend, what I would say is that it’s important -- we believe it’s important to increase the dividend when the Company is growing. And -- but we do -- we are one of the top 10 dividend yields in the S&P 500. And so, we already have an attractive yield on the stock. And so, it’s a small increase so that we continue to increase in terms of being a good dividend paying stock, but also recognizing where the yield on the stock is.
Jeremy Tonet: Got it. Makes sense. That’s helpful there. And then just wanted to shift to the weather impact during the quarter, if maybe you could unpack that a little bit more as far as pros and cons. Were there any marketing uplift during the quarter? Just trying to see, I guess, what was the impact from the storm in the quarter.
Steve Kean: Yes. It’s -- so look, we had uplift primarily in our Natural Gas assets. And that’s attributable to what I said at the beginning, which is that when you have storage and transport capacity, particularly in this case, storage where -- Kim, I think the peak was 160 Bcf and we had some supply degradation. This is a nationwide look down to a little over 80 Bcf. The difference had to be made up with storage and people who had those assets and have the capability were able to do well in those. The net, though, we did have some operational upsets and repairs we had to make, et cetera. And so, we netted those out. And it’s not -- the storm itself is not a huge incremental contributor. It’s on the order of $20 million or so when you net everything. But I think just overall, experiencing the winter weather and the volatility that occurred in pricing both before and after that winter event, if you have storage and transport, you’re able to take advantage of that, and we did.
Jeremy Tonet: Got it. That’s helpful. And congrats, everyone, again.
Operator: Next question in the queue is from [John McArthur] (ph) with Goldman Sachs.
Unidentified Analyst: I wanted to talk maybe just a little more on some of the regional gas movements on the gathering side. Can you just touch again on, I think Kim, you mentioned Haynesville volumes were flat quarter-over-quarter. Just wondering if you could comment on if that’s producer-driven or takeaway issues? And then, anything else you can share maybe on what you’re seeing across the Rockies in terms of production. Thanks.
Tom Martin: So yes, the KinderHawk volumes were basically flat from quarter-to-quarter, but we do expect a nice uplift as we move into 2023, and that is -- it is largely capacity constraints, both on our gathering system, we’re spending some capital in 2023 to create some additional capability there and then also a downstream capacity comes online as well. So, we see some really nice opportunities to continue to grow on KinderHawk and in the Haynesville play overall. And that’s not limited to just our gathering and processing opportunities, but we also see some nice interstate rate increase and utilization opportunities as we go forward. So yes, a nice story. Haynesville is a nice good story for us. And then, as far as the Rockies, I mean, yes, there’s -- we’re not seeing a whole lot of growth there. There’s a few a few pockets of green shoots in the DJ. But overall, we’re not seeing a great deal of growth there, although on our Altamont gathering system, we certainly, the Uinta, we’re seeing some nice growth there and expect that to grow as we go into 2023 as well.
Unidentified Analyst: Great. Thanks for that. Maybe just shifting gears to the Red Cedar announcement. Curious on how much else could be out there in terms of shifting away from, I guess, what we call natural CO2 sources to kind of recovered CO2. I mean, how much of the mix of your overall CO2 kind of EOR business, either your own or selling to third parties could be the recoveries end up making up over time?
Steve Kean: Anthony?
Anthony Ashley: Yes. So, the Red Cedar deal that we’re talking about that’s up to 20 a day, put it into context, we’re currently moving over 900 a day down our Cortez pipeline to West Texas. And so, there’s a ways to go before effectively that those natural resources get replaced. Really, when you’re talking about opportunities around kind of the Permian and the infrastructure there, that’s largely gas processing assets, which are going to be lower. And so with regards to, I guess, replacement of our existing source capacity be a very long time before that would be replaced.
Unidentified Analyst: All right. We’ll save [the big] (ph) ones for next week. Thanks for the time. And congrats, everyone, on the new roles.
Operator: Next question is from Jean Ann Salisbury with Bernstein.
Jean Ann Salisbury: Hi. Can you remind us where Kinder Morgan is on rate case settlements? Which ones have been settled and are incorporated into 2023 guidance? And which pipes, if any, could still see rate case this year or next?
Tom Martin: Really, we’re past the big ones for now. I mean, we’ve got the NGPL, EPNG, those are the big ones and all the Rockies pipes and I’m saying this over the context of the last year. Those are the big ones that have been addressed. And so, we’re pretty clear now for 2023. And that’s all been baked into our budget for 2023.
Jean Ann Salisbury: Okay. Thank you. And then what’s the latest on El Paso restart? I think you had a release that noted some positive progress last week.
Steve Kean: Yes. And so, our information on this is going to be consistent with and stick closely with what we post on the EPNG electronic bulletin board. And so, we did post an update there. And what it says is that we anticipate completing the physical work on Line 2000 before the end of January. And then we will submit a request to PHMSA on behalf of EPNG to lift the pressure restriction and return to normal commercial service. So as PHMSA will need time to review the information that we provide, but our work we expect to be completed by month end.
Jean Ann Salisbury: Great. That’s all for me, and congrats to you, Kim, and thank you, Steve, for all the time and thoughtful answers over the years. Best of luck.
Operator: Next question is from Spiro Dounis with Citi.
Spiro Dounis: Congrats all around. And Steve, I can’t believe you’re willing to walk away from the dollar a year salary...
Steve Kean: It was a hard choice.
Spiro Dounis: Congrats. Two-part question, and my first one here is just along the Permian pipeline. First part, just between GCX and Permian Pass. Curious if one of those is kind of in the front of the queue and if maybe it would make more sense to kind of bring Permian Pass back up to the front. And second quarter, I believe last quarter -- or sorry, last quarter, you mentioned the possibility of maybe phasing the Permian Highway expansion in over time. I think you needed to do more engineering work to figure out if that was feasible. Just curious if there’s an update you can share on that.
Tom Martin: Yes. So I think you mean Permian Pass, right, not Permian Highway? So, the Permian Highway expansion is under construction and expect that expansion to go into service in November. We’re really working on two other opportunities, as you’ve noted. One is GCX expansion. That hasn’t been very active, although with lower gas prices now, there may be some opportunities there. As you recall, fuel cost was a bit of a headwind for us on that expansion project. So again, as gas prices are lower, that may bring that one more into an actionable opportunity. But as far as Permian Pass, really, I think what we are hearing from our customers is that the next need for incremental capacity out of the basin is sometime in late 2026, maybe early ‘27. And so, as we work with our producer customers and also align them with their desired customer, which I think largely are going to be LNG related along the Gulf Coast, it helps -- we need to figure out exactly where and when those volumes need to be there. So I think that’s still out there. The overall market still needs that capacity. But nothing really new to announce as far as anything that we’re going to accelerate at this time.
Steve Kean: I think the PHP, there was some discussion last time about when we put our compression in, once we get pretty close to the end, is there any channel. A little bit of capacity that’s available before the November in-service date. And so, I assume that it’s late in the going.
Tom Martin: Still exploring that. And I think that is a potential opportunity as we move through 2023.
Spiro Dounis: Got it. Perfect. Thanks for the color on that. Second question, maybe for David. Just maybe an update on how you’re thinking about maturities and the overall interest rate exposure for 2023 and beyond. Just kind of curious what options are available to you to perhaps maybe exceed the DCF budget by outperforming on interest expense?
David Michels: We’ll continue to evaluate different alternatives. We’ll talk more about this next week, but we’ve locked in some of our floating rate exposure for 2023 in order to reduce some of the downside risk for the year. But with regard to the overall maturities, we do expect to access the debt capital markets during the year 2023 in order to refinance the large amount of maturities that are coming due this year. The $745 million of cash on the balance sheet coming into the year certainly helps with that. And we’ve got our $4 billion worth of revolver capacity. So, as I said last quarter, and this is still the case, we will await for favorable market conditions before we access the market, and we have the luxury of being patient.
Operator: Next question in the queue is from Michael Blum with Wells Fargo.
Michael Blum: Thank you. Congratulations, everyone. Steve, we will miss you, and I’m glad you came to our conference here. So, thank you for that. I wanted to ask back on the Red Cedar CCS project. Just wanted to see if you could talk about what type of return you expect to generate on a project like that, and just to confirm that this will be entirely fee-based from your perspective?
Dax Sanders: Yes. I mean the -- we’re not going to talk specifics on returns, but I would say they were very comparable with our traditional businesses. So, we’re doing the right things from a return standpoint. And I’m sorry...
Kim Dang: The commodity exposure.
Dax Sanders: Yes. And this is primarily on the ETV side of things, and maybe Tom wants to talk about the Red Cedar JV part of it. But ETV will have minimum volume commitments in place on that transaction.
Tom Martin: And on the Red Cedar, it’s G&P volumes. So there is a variable component to that, but their volumes have been growing and expect them to continue to grow, so.
Steve Kean: This is a good opportunity, for CCUS, it’s going to have to be part of the solution over the long term, and we have the capability to transport it put it in the ground and keep it in the ground. And so, there’s a good longer-term opportunity there, and this is a highlight that you can do these things and you can do them economically. And so, we’re happy about this transaction. It’s the first we hope of many -- but there are a number of things that have to be worked out. I think, the biggest is getting Title VI permitting for the sequestration through the EPA or having that authority delegated in Texas and Louisiana and other places, so that we can speed up the permitting process. Anthony and the team have found a way to use a different kind of permit in a different kind of well situation to enable us to do this. And there may be more of those to do as well. But this is a sign of things to come we hope and believe, but it is dependent upon an accelerated permitting process from the EPA.
Michael Blum: Got it. I appreciate all that. Second question, I just wanted to ask was on the lower gasoline and diesel volumes year-over-year. Can you just maybe just talk to what you’re seeing there? I know your overall volumes, I think, were a little better than overall industry averages. But just kind of what’s driving that? And do you think this is sort of a recurring pattern that we’re going to see throughout the year? Thanks.
Steve Kean: Yes. I’d say a couple of things. So first of all, we had one operational issue in December that. As Kim mentioned, we were down 0.7% compared to the prior year. We had one of our major lines in California, the one that serves San Diego down for 12 days. And if that hadn’t been down, we would be back up to close to flat sort of quarter-over-quarter. And so, looking at 2023 and where we stand right now, and we’ll get into the budget more next week, we’re budgeting an increase of about 3.4% in aggregate. For gasoline, we’re looking at something below that, but for jet fuel and diesel together, we’re looking at something above that, close to 6.5%. But if you look at, starting with kind of jet fuel recall, we’ve been slower to recover in jet fuels and EIA given our weighting towards international flights. EIA for the quarter was down about 14% to 2019, whereas -- I’m sorry, EIA was down 10% to 2019, whereas we were down 14%. So, we still got a better recovery on the jet fuel front to close with the rest of the country as we see international, particularly Asian flights come back, we think that will help us. And recall, we’ve got our renewable diesel projects coming on line on the West Coast at the end of the first quarter. And those have take-or-pay contracts for north of 30,000 barrels a day. So, we think that will help with the diesel picture, so. And looking at what we’re seeing right now midway through January, we seem to be, from a refined products perspective, on top of budget.
Operator: Next question is from Brian Reynolds with UBS.
Brian Reynolds: Good afternoon, everyone, and congrats to you, both Steve and Ken. Maybe to start off on the Kinder-based business, which performed pretty well in the quarter. And I just wanted to talk a little bit about future growth opportunities there. Over the past few years, we’ve just seen a lot of competitors come into the market looking to erode that Kinder market share on LNG supply from the Permian and Louisiana. I was just curious if you could talk broadly about how Kinder has a competitive advantage there and whether you guys see yourselves well positioned for new LNG supply projects going forward, or whether effectively, the competition has made returns not attractive at this point? Thanks.
Tom Martin: Yes. So I mean, I think as we said all along, the proximity of our network along Texas, Louisiana, including our storage capabilities there, I think gives us a great advantage, whether we’re directly building into new LNG export facilities or serving other lines that are doing those connections. Just when you have access to as many basins as we do and as -- and the mix of both, reservoir storage and salt stores that we have across our footprint, I think we’re still in a great position to participate in the LNG export story. We’ve talked about 50% as being our market share. That’s where we are today. We definitely believe our volumes are going to continue to grow, but it’s hard to call balls and strikes on whether we’re going to meet or exceed 50% going forward, but I feel really good about our position to participate in that whole growth story.
Steve Kean: Yes. You’ll see a little bit more of this, Brian. But, what you’re seeing when we have a backlog that’s $3.3 billion, and we’re executing it at 3.4x EBITDA multiples is that our network is well positioned, and we’re able to make relatively modest capital efficient investments in our grid to expand, to serve the supply and demand growth that we’re seeing across the network. And so, that’s -- in the past, we had big long-haul projects that might have been done at a slightly higher multiple, still attractive returns. But I think this shows you the fact that we have dozens of projects that we’re doing and a relatively modest capital expenditures each but with really nice returns that we are finding that our network is extremely well positioned for the growth along end.
Brian Reynolds: Great. I appreciate the color. And as my one follow-up, I just wanted to get a little bit of an update on just the RNG projects and the CapEx that are progressing through 2023. How are those projects progressing? And just as the RNG market starts to mature in the middle of the decade or end of the decade, curious if you continue to see new opportunities within that Kinetrex business and if you see continued CapEx for the next few years.
Anthony Ashley: Yes. So, we have three of our original RNG projects that came through the Kinetrex acquisition, that will be in service this year. Two of them really in the first half of this year. There is one on EPC contract. So that capital is fully baked into our 2023 budget. And then, with regards to future opportunities, we’ve -- obviously, we’ve made three acquisitions to date. I think we are looking to grow fairly organically at this point in time. I think, there are opportunities out there to grow, and we’ll be looking at those on an individual basis. The EPA did come out with a new proposal recently, which opens up a new demand market for us. And so, there may be some opportunities there to convert some of these assets into electric service as well. So, I think there’s lots of different opportunities that we’re looking at right now in that space. We’re excited about growth.
Operator: The next question is from Keith Stanley with Wolfe Research.
Keith Stanley: Congrats to Kim and Steve as well. I wanted to start, Steve, you said the backlog is at $3.3 billion now. So, that’s up another $600 million or $700 million since last quarter, which presumably, that’s why the growth CapEx of $2.1 billion for this year was higher than what you kind of pointed to initially. Can you talk to any of the specific projects you’ve added since last quarter because that is a decent amount?
Steve Kean: Yes. So, we have some -- most of it is going to be in gas and in RNG, on a percentage basis, I think I can give you that. 64% is in gas and in RNG related, a little bit more than that maybe. And so this is -- it’s a mix of power demand, LDC demand, LNG transport and G&P and well connects. And as I said, it’s a collection of a lot of smaller projects and mostly buildups of the existing network, which again makes them capital efficient. It reduces the execution risk on them. And it tends to give us -- we get as best return as we can that’s available for the market. We tend to end up with better returns on the capital we deploy when that’s the composition of the project. So, yes, $3.3 billion and again at 3.4x and kind of concentrated in our low carbon, including natural gas.
Kim Dang: Yes. And a number of the projects that got added to the backlog are in the other news, like part of the Evangeline Pass project, the TVA project, the terminals renewable diesel projects. So those are some of the projects that got added to the backlog in the quarter.
Keith Stanley: Got it. Thanks. Separate question. Just on the buybacks and how you’re thinking about it for this year. So, it’s a little bit more of a growth year in terms of spending in 2023. So your DCF is only a little bit above, I think, your CapEx and your dividends. So, when you think about buybacks and obviously, you’re opportunistic, but would you be willing to increase debt or issue debt more short-term borrowings in order to buy back stock if the opportunity was there since you’re well under your leverage target for this year?
David Michels: Yes, we would. We think about our capacity for buybacks or other opportunistic opportunities as being our balance sheet capacity as well as the excess cash that we generate in the current year. And so, we would be willing to increase our leverage a little bit. We’ll be real cautious around it, we’ll measure and make sure that we’re being -- we’re using that capacity in an appropriate manner, but that is the way that we think about our available capacity.
Operator: The next question is from Neal Dingmann with Truist Securities.
Neal Dingmann: You all hear it mostly, I’m just -- my question is around first on the renewable diesel specifically. Just what future opportunities you see there beyond the Carson terminal and the committed projects? And you touched around this as well, maybe the second question, just hit this now as well, just the same thing on opportunities you see around the CCS.
Steve Kean: Yes. So Dax, if you’ll comment on the R&D part of it, and John, if you’ll talk about the upstream, the feedstock part of it as well.
Dax Sanders: Yes. So just to comment, I mean, as we’ve said before, right now, every drop of renewable diesel in the United States wants to go to California. I think we expect that as additional state governments later on a third level of the tax credit similar to the one that California has in other states have them, Oregon, Washington, British Columbia that there will be more enthusiasm for projects there. We’ve got terminals there. We are having conversations with people. And so, I think that’s probably other areas in the West Coast or probably next places to potentially develop. And then certainly, with the two hubs that we’re developing in both Northern and Southern California, I think there are additional opportunities to potentially expand those. So, that’s the majority of it from the refined products perspective.
Steve Kean: Okay. And feedstocks.
John Schlosser: Sure. I mean we said last year when we announced the Neste deal that we felt that all boats would rise and there has created a number of opportunities to high-grade our assets, high-grade our customers at Harvey bring additional products in their raise rates, but it has also attracted other customers. And this is what we hope is the second of many projects we’ll be looking at, great opportunity to connect with a neighboring facility that’s involved in an expansion project, where we’ll be handling all the feedstocks into the facility under a long-term10-year take-or-pay. The other area to actually help us too is on our Jones Act vessels. We’ve seen a lot of movement as it relates to renewable diesel from the Gulf Coast to the West Coast and interest in that, which we think will further tighten an already tight Jones Act market.
Operator: And I’m showing no further questions at this time.
Rich Kinder: Okay. Thank you very much. Everybody, have a good evening. Thank you.
Operator: This concludes today’s call. Thank you for your participation. You may disconnect at this time.